Operator: Good afternoon, and welcome to VirTra's Second Quarter 2023 Earnings Conference Call. My name is Kyle, and I will be your operator for today's call. Joining us today's presentation are the company's Chairman and Co-CEO, Bob Ferris; Co-CEO, John Givens; and Chief Financial Officer, Alanna Boudreau. Following their remarks, we will open the call for questions from VirTra's institutional analysts and investors. Before we begin the call, I would like to provide VirTra's Safe Harbor Statement that includes cautions regarding forward-looking statements made during this call. During this presentation, management may discuss financial projections, information or expectations about the company's products and services or markets or otherwise make statements about the future, which are forward-looking and subject to a number of risks and uncertainties that could cause actual results to differ materially from the statements made. The company does not undertake any obligation to update them as required by law. Finally, I'd like to remind everyone that this call will be made available for replay via a link in the Investor Relations section on the company's website at www.virtra.com. Now I'd like to turn the call over to VirTra's Chairman and co-CEO, Mr. Bob Ferris. Thank you and you may proceed sir.
Robert Ferris: Thank you Kyle and thank you everyone for joining us this afternoon. After the market closed today, we issued a press release that provided our financial results for the second quarter ended June 30, 2023 along with highlighted business accomplishments. We also filed our 10-Q with the SEC today which is available for your review at your discretion. As a brief overview for today’s call, I’ll begin by providing highlights for the second quarter 2023, and I’ll summarize some of our recent business developments before passing the call to Alanna to discuss our financial results in more detail. John will then come on to discuss operations and our sales initiatives before providing an update on our military market progress. After that I’ll come back with some concluding remarks about our progress so far in 2023 before moving to Q&A. And with that, let's begin. In Q2, VirTra demonstrated exceptional performance, achieving the best financial results in our 30-year history. The success is the culmination of years of effort and a focus on operational excellence. Our internal process improvements have yielded remarkable results, propelling us to record-breaking revenue for the second consecutive quarter. During the period, our revenues rose to $10.3 million, a clear testament to the efficiency and effectiveness of our streamlined operations. Our focus on scaling the company and optimizing expenses has translated into our best-ever profitability quarter with a remarkable 25% increase in gross profit and net income of $1 million, further reinforcing the strength of our business model and the success of our strategic transformations in recent quarters. The results from the first half of 2023 set a strong foundation for the remainder of the year and beyond, but we are not satisfied, and there is still much work to be done as we progress into the second half of the year. Building on our momentum, we will continue to push key areas of our business, ensuring that we extend our market-leading position. One of those key areas of focus is actively pursuing product and content developments to enhance value for existing and potential customers while creating new revenue streams. On recent calls, I have talked about VirTra Volumetric Video, or V3, and its potential to advance our customers' training content, which plays a crucial role in attracting and retaining clients. Our industry-leading capabilities in this area are driving the expansion of our market presence. John will elaborate on how we are leveraging our content creation engine to strengthen customer relationships and drive future sales, but today I would like to spotlight other product enhancement initiatives. In Q2, we made progress towards improving the ease of use of our software interfaces, allowing customers to concentrate on their training objectives instead of navigating the system. By making our systems more intuitive, we aim to achieve multiple benefits. Firstly, we will reduce customer support instances, saving both us and our customers valuable time. Secondly, enhanced usability will extend our competitive advantage in technology and potentially increase win rates in competitive bids, ultimately driving revenue growth. And lastly, our commitment to creating user-friendly interfaces delivers a superior customer experience and opens us up to a larger market. John and the team have been driving opportunities in the military market. In some cases, to support their efforts, VirTra has ended up having engineers build entirely new capabilities never before seen in the market. In fact, during the second quarter, our engineering team has been heavily focused on brand-new capabilities for several pistols for police and revolutionary recoil kit capabilities for military weapons such as the M4 and M249. By focusing on these product enhancements and content developments, we are positioned to strengthen our market presence, attract more customers, and create sustainable revenue growth. The dedication of our team and the continuous pursuit of excellence propel our success as a technology leader in the industry. I think it is safe to say that VirTra has invested more time and money into effective training technology, long-term infrastructure, and ultra-precise world-class production capabilities than any other company in our industry, and it is not even close. Due to our incredible customer base, we were able to both invest in our business and produce a profit, often a rare combination. Although we remain highly committed to keeping and growing VirTra's strategic advantages in the competitive landscape, it appears much of our capital investments are in the rear-view mirror. Along with product R&D, we continue making progress towards building reliable, scalable operations, and a big part of that effort has been the centralization of our facilities. In Q2, we entered the final phase of consolidating our operations under one roof. I know John and I are both happy that we're in the final phase. It's been a whole lot of work. This milestone involved bringing our advanced machinery into headquarters and winding down construction. This brings multiple operational and cost efficiencies immediately. Additionally, we are opening a dedicated training center within our headquarters in the second half of the year. The basis for opening this facility is to further develop our relationships with existing and potential customers. We believe that offering expanded training services will naturally lead to greater adoption of our products by showcasing their potential and value. As we move into the second half of the year, we remain focused on growing our global footprint and broadening our reach in the industry. Under John's leadership, we have made remarkable advancements in our operations, and they showed up in the first half of the year results. We're witnessing healthy demand driven by our commitment to offer the industry's best training solutions. This demand is particularly evident given the rise of international military threats and the intensifying challenges faced by local, state, and federal law enforcement agencies in America concerning policing. The spotlight on policing reform in Washington underscores the significance of equipping personnel with the very best training, making our solutions even more essential in these difficult times. With this in mind, let's take a finer look at how each of our end markets performed. In Q2, our government revenue increased by 285% to $9.5 million from $2.5 million in the prior year. This strong success was a result of improved performance in the law enforcement market, increases in federal government police contracts, and some early traction in the military market. Internationally, our revenue decreased by $1.2 million to $0.7 million. This can be primarily attributed to the anticipated timing patterns of international order placement, which John will discuss in further detail shortly. We have reported continual growth from our Subscription Training Equipment Partnership, or STEP Program, which provides recurring revenue for VirTra and offers an easier on-ramp for smaller agencies interested in our solution that are perhaps budget-constrained for an outright purchase. This also gives our staff another tool in closing the sale. Currently, our recurring revenue, including warranty revenue, represents 17% of the total quarterly revenue, but we expect this to increase in the future. Together with our talented team and the unwavering support of our customers, we are well-positioned to continue driving progress. This record-setting quarter serves as a testament to the solid foundations we have laid for profitable growth, but we remain committed to seeking further opportunities for improvement. With a reputation of delivering the gold standard training solutions, an exceptional client base, and experienced leadership, we have advantages over our competition, but we mustn't slow down, not even for a second, and we still have much to improve at VirTra. Moving forward, our focus is on enhancing customer relations through new products, technological upgrades, and operational improvements. I will now turn the call over to Alanna to discuss the financial results in greater detail. Alanna?
Alanna Boudreau: Thank you, Bob. Good afternoon, everyone. It's a pleasure to be speaking to you today to review our unaudited financial results for the second quarter ending June 30, 2023. Our total revenue for the first six months of 2023 increased 38% to $20.4 million from $14.8 million in the prior year period. For the second quarter of 2023, revenue increased 29% to $10.3 million from $8 million in the second quarter of 2022. The increase in revenue resulted from improvements in operations, which helped move through the backlog and shift orders at a record pace. Our gross profit for the first six months of 2023 increased 25% to $12.9 million, or 63% of revenue, compared to $8.4 million, or 57% of revenue, in the prior year period. The increase in gross profit margin was primarily due to the increased sales achieved while maintaining cost of sales in line with 2022 levels. For the second quarter, gross profit increased 25% to $5.9 million, or 57% of revenue, from $4.7 million, or 49% of revenue, in the second quarter of 2022. The decrease in the gross profit margin resulted from the one-time inventory adjustments made when we went live with our new ERP system, which had the effect of increasing cost of sales in Q2 of 2023. Our net operating expense for the first six months increased to $7.5 million from $6.7 million in the prior year period. Net operating expense for the second quarter of 2023 was $4 million compared to $3.7 million in the second quarter of last year. The increase in net operating expense was primarily due to increases in salaries and benefits due to additional staff and expenses for the new Orlando office, as well as a $100,000 increase in R&D spend. Turning to our profitability measures, for the first six months of 2023, our operating income jumped to $5.4 million compared to $1.8 million in the prior year period. For the second quarter of 2023, operating income increased to $1.9 million from $1 million in the second quarter of 2022. Net income for the first six months of 2023 increased by $2.6 million to $4 million compared to $1.4 million in the prior year period. Net income for the second quarter of 2023 totaled $1 million or $0.09 per diluted share, which represents an increase compared to net income of $0.8 million or $0.07 per diluted share in the second quarter of 2022. For the first six months of 2023, adjusted EBITDA increased to $6.5 million from $2.3 million in the prior year period. Adjusted EBITDA on non-GAAP metric for the second quarter of 2023 increased to $2.6 million from $1.3 million in the second quarter of 2022. Now turning to our bookings and backlog. We define bookings as the total of newly signed contracts and purchase orders received in a defined period. For the second quarter of 2023, we received bookings totaling $8.4 million, and we define backlog as the accumulation of bookings from signed contracts and purchase orders that are not yet started or incomplete and cannot be recognized as revenue until delivered in a future period. As of June 30, 2023, our backlog totaled $16.4 million. The breakout of this backlog includes $7.8 million in capital, $6.3 million in service and warranties, and $2.3 million in STEP contracts. Despite being lower compared to June 30, 2022, this backlog still provides opportunity in the second half of 2023. As a reminder, service warranties and STEP backlog as revenue will be recognized on a straight line basis over the next seven years. In addition to the backlog, there are $7 million in potential renewable STEP contracts that would represent additional revenue for the next five years. Historically, we've had greater than a 95% renewal rate on our STEP contracts. And finally, to our balance sheet. As of June 30, 2023, we had unrestricted cash and cash equivalents of $13.3 million, a decrease from the $14.3 million at March 31, 2023, and a decrease from the $13.5 million at December 31, 2022. From a working capital standpoint, at the end of the second quarter, we had $26.6 million in working capital, an increase of $24.3 million at the end of Q1. For additional details of our financial results, please reference to 10-Q, which was filed earlier today. And that concludes my prepared remarks, and now I'll turn it over to John to discuss operations.
John Givens: Thanks, Alanna. Good afternoon, everyone. I'd like to provide you with an update on our overall company operations and our progress in the military market. First, it's important to note that our operational transformation and the full reimplementation of the ERP have been highly successful, resulting in the significant improvements across our operations, allowing for us to serve our customers and position ourselves for suitable growth moving forward. This successful implementation has effectively increased our capacity to install systems in an efficient manner while also enhancing our customer service capabilities. Furthermore, we have advanced our supply chain management, minimizing potential delays or disruptions, and optimizing our overall performance. With those streamlined processes and a scalable infrastructure, we have also improved inventory management, allowing for timely order fulfillment and greater financial visibility. These developments set the stage for effective scaling, enabling us to meet future demands and capitalize on new opportunities. Applying the same focus and tenacity, we are proactively taking measures to increase our bookings and unlock our full market potential, both domestically and internationally. Our sales enhancement initiatives are already underway, and it's our top priority as we strive to surpass our year-over-year bookings performance. While lower bookings in the first half are not uncommon due to budget cycles and decision-making patterns, the significant progress we've made to clear out backlog so far this year positioned us with $16.4 million in backlog as we enter Q3. While that presents a challenge for us, it also provides clarity on our capability to sell and deliver in a timely manner. The standard federal budget cycle in Q3 provides a strategic opportunity for us to bolster those sales efforts and further prop up the backlog, helping us maintain this momentum that you're seeing. As a key part of our sales initiatives, we're focusing on establishing our presence and thought leadership, showcasing our capabilities in creating top-tier scenario training. Our success hinges on the quality of our scenario building and our expert training personnel already serving law enforcement and government agencies nationwide. With our exceptional training service, including at regional training centers and our new training center headquarters, complemented by our cutting-edge content creation using our V3 technology, we are creating pathways to customer acquisition and retention. Leveraging these lower revenue training opportunities as an entry point, we highlight our expertise and build lasting relationships with customers. As we innovate and expand our offerings, these relationships become stepping stones to those higher-yielding engagements. As part of our comprehensive sales strategy, we are not only emphasizing our thought leadership and exceptional training service, but also undertaking significant restructuring and expansion efforts. We are prioritizing sales territories and actively hiring and on-boarding new sales staff to strengthen our market presence and reach. The sales life cycle for law enforcement, it mirrors that of the U.S. government and military customers I've dealt with in the past, meaning a constant presence is essential. Given localized politics to navigate, in-person demonstrations offer valuable insight into these organizations, their funding processes, and on-site training needs. With the sales cycle spanning six to 18 months, it's crucial to have boots on the ground engaging directly with the customers to cultivate these relationships and expand our footprint. This strategic approach involves increasing our sales staff by an ambitious 35%, allowing us to tap into new markets and seize growth opportunities. To attract the best talent, we're putting together enticing incentives that reward success aligned with our vision for the company's future. By restructuring our sales territories and expanding our team, we are positioning ourselves to proactively understand and meet the evolving demands of our customer base and capitalize on those emerging opportunities. This forward-thinking approach, combined with our focus on content creation, scenario building, new product development that Bob mentioned, and exceptional training services, create a compelling and well-rounded sales initiative that propels us forward towards continued success and growth in the industry. To bolster our global footprint, we are adding international salespeople who will cover Central and South America, Canada, Africa, Europe, and Asia to cultivate and grow our international pipeline. Speaking specifically about our military operations in Q2, a little better than expected, we have been proactively building a robust pipeline of leads and connections. Progress has been promising, and we have already recorded $4 million in military-related contracts year-to-date, surpassing our internal target set for the beginning of the Department of Defense fiscal 2024 in October of 2023. Given the highly competitive nature and the security-sensitive aspects of these contracts, we are exercising caution in sharing these specific details about these contracts at this time. However, we are confident in our positioning for future growth in the military market. We remain dedicated to nurturing those existing relationships and cultivating those new leads and leveraging our strategic Orlando location to strengthen those ties within the industry and capitalize on those opportunities. We consider this phase to just be underway, and as we continue to execute on these initiatives, we eagerly anticipate sharing our progress and achievement with you in the coming quarters. Our commitment to excellence and our longstanding connections with the industry provide a strong foundation for success as we forge ahead in this important market segment. With our proactive approach and the addition of new talent, we are confident in our ability to effectively capture and capitalize on that potential growth opportunity in both the domestic and international markets. Delivering exceptional value to the clients remains at the core of our strategy, and our prioritization of superior technology has positioned us competitively to satisfy those customers' needs. We remain dedicated to the mission of driving revenue while delivering a quality training product, and though we are just getting started, I am optimistic about our prospects. While Q2 and the first half of Q3 yielded strong results, the quality of our product and exceptional staff suggest that we have just begun to realize our potential. I look forward to updating you on all the progress in our future quarters, and now I’ll turn the call back over to Bob. Thank you.
Robert Ferris: Thanks, John. The first half of 2023 has been marked by significant milestones, including the addition of key new talent and the implementation of effective processes to support increased business volume, leading to back-to-back record-breaking quarters. We recognize there are still areas needing improvement and far more growth potential, and we are proactively addressing these opportunities, as John has just mentioned. Our focus remains on strengthening our business pipeline in key markets, embracing a culture of world-class operations, and ensuring we deliver quality to our customers. I'd like to extend my gratitude to the entire VirTra team, these record-shattering results are due to their hard work and dedication. Moving forward, I am confident in our ability to sustain this momentum under the leadership of John Givens, who has proven his exceptional effectiveness time and time again. And with that, we'll open up the call for your questions. Operator, please provide the appropriate instructions.
Operator: Thank you. [Operator Instructions] Our first question comes from Jaeson Schmidt with Lake Street. Please go ahead.
Jaeson Schmidt: Hey, guys. Thanks for taking my questions, and congrats on another strong quarter. Just want to focus on the military market first. Just going forward, is the team and infrastructure fully built out at this point for that business?
John Givens: Yes, thanks for that question. It's getting close. We're targeting specific individuals for that space. And to answer your question, we're probably about 75%.
Jaeson Schmidt: Okay, that's helpful. And then the consolidation, I know you said you're entering the final phase here. So should we expect to see sort of the full benefit from the efficiencies in Q4, or will we start to see a big chunk of that in Q3 here as well?
John Givens: Bob, you want to take that one?
Robert Ferris: Sure. So I think the total efficiencies with the final phase would be more showing up in some of fourth quarter and certainly by Q1 of next year. We're expecting to have all the final phases done by fourth quarter, hopefully, and a lot of that done in third quarter. We have had challenges with construction, deadlines, no matter how much hair I lose over it or John, we've struggled with getting the timelines where we want. But we shifted, John recommended we shift contractors and so far that's working out a lot better. So we're now getting more confident that it would be third quarter or fourth quarter based on the latest contractor we're using.
John Givens: I'll give you another example as well. So timing is everything. You can't shut down a machine shop in your production lines for very long. And some of the contracts that we've talked about have specific deadlines. So we've shifted the shutdown of our machine shop for the move until we finish that. So we have no hiccups. So that's why there'll be a little bit of a delay of seeing the efficiencies just so that we perform above expectations on the current contracts that we have.
Robert Ferris: Yes, the focus is making that as seamless as possible transition since we have a lot of pressure on us to maintain our productivity each day.
Jaeson Schmidt: Okay, that makes sense. And then just the last one for me, and I'll jump back in the queue. Obviously, you guys gave your bookings and backlog. But how should we think about sort of Q3 or any additional color you could provide on order patterns here the first six weeks of the quarter?
Robert Ferris: John, you want to take that one?
John Givens: Yes, order patterns right now, I'll speak specifically about military. Budget cycles end September 30th. So unfortunately, everybody waits until the final hour trying to move that money. So we won't see anything from the military until we've gotten some early, we've been pushing and gotten some early revenue from military. On our regular orders, we are seeing a steady, but like we talked about on previous calls, there is a drop between second and third quarter. And we've seen that same trend. But we are starting to see the orders and we're starting to see, I guess you'd say positive movement for third quarter. I hope that answered the question.
Jaeson Schmidt: No, that's really helpful. Thanks a lot, guys.
Robert Ferris: I would add to that, that John's really been focused on the international market as well. And so the international market can also assist with having larger sales come in on times that are not as cyclical. And so a lot of times that's their timing on internationals based on the country and their budget, their internal budget cycle or award process, and those are not normally in sync with the U.S. federal government cycle. So the part of John's push for international sales is also along the lines of bolstering our sales throughout the year, if that makes sense.
Jaeson Schmidt: No, it does. Thanks, guys.
Robert Ferris: Thank you.
Operator: Our next question comes from Richard Baldry with ROTH MKM. Please go ahead.
Richard Baldry: Thanks. Just looking on the balance sheet, there's a pretty unusual spike to receivables. It's like if you'd had what I call normalized levels of DSOs, you'd have almost 2x the cash on the balance sheet that you have right now. So I wonder if you can talk through why that very large step up. I mean, it's disproportionate even to the revenues you put up and the bookings, etcetera. So how should we think about that and when should that normalize to generate the cash? Thanks.
Alanna Boudreau: Yes, I can take that, guys. So one of the things we had to do when we transitioned software from one ERP to rebooting was we had to invoice and move everything to a receivable section in order to be able to move it over. That caused a spike in the receivables. You'll see a decrease in the unbilled revenue. So a lot of those were, in some cases, invoices for partial deliveries where we before were in the habit of only sending invoices when everything was fully completed. So we should start to see some of that convert in the next, this quarter and the beginning of fourth quarter into cash. Does that help?
Richard Baldry: Okay, great. Yes, it does and can you talk about is there a way to think about what a comfortable level of backlog to operate with would be now? You've demonstrated an ability to ship or do a throughput against orders now that's much faster. Do we think about it in dollar terms? Months of revenues, or is there some other way to try to think about what a good level for that should be?
Robert Ferris: So there as we've started to break out the backlog to help give some transparency because some of those we those are healthy, right? Warranty and backlog step things that are going to take time. The capital systems are the ones in which we normally have either been held up by our own internal processes to where things don't get produced quick enough or the client is requested a certain delay, but technically speaking VirTra would be would be wise to have the capacity to to fill orders within 7 to 30 days on a normalized basis no matter how large the simulator contract is. Now in in the military circles where John Givens has cut his teeth there have been contracts that were like 900 simulators actually a little over 900 simulators and those don't get filled in a 30-day process per contract, so those would be a different a bit of an exception if we were fortunate enough to land things like that, but on an on-going basis when it comes to selling a product via capital just somebody buying the product not a subscription service then that should be done quite rapidly outside of the fact we sometimes have a customer say you know what I know you have it ready but please hold on to it for a couple months for me, and then ship it.
Richard Baldry: Okay, and I'm not sure if I heard this exactly right, but it sounded like Military order here to date or actually above your 2024 goal for a year and again I may have heard that somewhat wrong but the question would be if you're at about 75% of the Infrastructure facility staffing kind of needs you have in that military world with orders. They're strong, do you think that you need to accelerate sort of finishing up that remaining 25% to get that fully staffed up and ramped?
John Givens: Yes, it was kind of a twisted twisted sentence there. So what that sentence meant was is that we're already $4 million ahead of what our expectation was when we start the October 24 fiscal year. We didn't expect to collect any revenue until that that starts. So we've already collected four million in military contracts at that point. We'll continually staff up because other contracts subcontracts, there's one prime contract and we're -- will continually ramp up, but yet our expectation those aren't the expectation that was just our internal expectation. We already brought money in that we didn't expect to bring any in until after September 30th, that's what that sentence is about.
Richard Baldry: Got it okay, and so does that I guess to finish the question that is, does that give you any more confidence I guess in finishing up building that team out, or do you feel like you know what you have is good to you know get you ramped into the order side and maybe you start finishing it up as the order start coming in after the year the October 24th start time.
John Givens: Yes, the way the way I think about that is we have just the core group in there now and we expect to grow that group as we grow the orders that we that we bring in. So that will be directly proportional with the amount of business that we bring in. We'll expand program management; we'll expand those things that currently aren't there as well as customer support staff and technical staff to support those locally because they're pulled out of the Orlando market or the Orlando [Indiscernible] Army, Air Force and Marine Core all right there, their acquisition. So those will grow. I don't expect that it's fully built out yet. Just the initial core staff, we're about 75% there.
Richard Baldry: Okay, and then you give a lot of backlog bookings information a lot of companies don't give. Sort of curious that we extend that one more level. You're talking about adding 35% to your sales capacity. That's, a pretty good step up. Do you think, is there a way to think about the sales pipeline growth that you're seeing or opportunities per rep or, capacity, efficiency, utilization of the existing group that's giving you that confidence to make another big push on the on the sales capacity side?
John Givens: Actually that's a great question. So what we're looking at is making each of the sales territories more efficient. What does that mean? I need police departments that are over 5,000 police officers and a budget greater than 50 million or greater than a billion, whatever it is, breaking up each of those territories. So each one of those specific, each one of those specific sales territories have an equal amount of opportunity. What ends up happening is because these sales require a lot of focus, a lot of attention, a lot of hand-holding to bring them through that cycle because they're cops. They're not in the market to buy and do all of these sorts of things. They just want to train and that's what we're experts in. And so by doing that, I think what VirTra has done and been very successful at is they've chased the low-hanging fruit. So they've just grabbed the things they could just because they were understaffed. This way we act more like farmers than salesmen. We go out there and we plough the fields, we plant, we fertilize, we nurture each one of those territories in those accounts and by doing that we're going to drive more sales, more relationships, and more revenue to VirTra in that regards.
Richard Baldry: Got it. Great. Thanks and congrats on the great first half of the year.
Operator: At this time, this concludes our question-and-answer session. I'd now like to turn the call back over to Mr. Ferris for his closing remarks. Please sir, go ahead.
Robert Ferris: Thank you, Kyle. Before we close, I'd like to take a moment to announce a transition in the leadership team. Today, I'm honored to announce John Givens as the new sole Chief Executive Officer of VirTra. His visionary, practical, and world-class leadership helped to generate our rapid progress and he continues to show us how much more is possible for VirTra. Throughout our 30-year journey, VirTra has been driven by a powerful mission to equip the brave men and women of armed forces and law enforcement agencies around the world with the tools they need to serve their country, complete their missions, and return home safely. This mission is at the very core of why we exist and remains our firm commitment. As I take on the role of Executive Chairman of the Board, I will continue to support this vital mission knowing it is a worthy and noble calling that it resonates deeply with each member of the VirTra family, from employee, to investor to customer. Our dedication to innovation and excellence is fueled by the knowledge that the work we do directly impacts the lives of those who protect our communities and uphold the safety of free nations. Having worked closely with John, I have seen first-hand his expertise in the simulation military markets, which has been instrumental in our recent achievements. Under his leadership, I've seen VirTra accomplish things that we thought were simply impossible. I am confident that John's continued leadership as the CEO will lead VirTra to even greater heights in fulfilling our mission. We stand firm in our service to our customers and their life-saving missions. With John at the helm, I have no doubt that our future is incredibly bright. The passion and dedication of our team is the driving force behind our success, and I have every confidence that we will continue to push the boundaries of what is possible and change the world for the better. As we look forward to this new chapter, I want to express my deepest gratitude to each and every member of the VirTra family, our staff, our shareholders, and especially our customers. Your unwavering support has been the foundation of our success, and I'm excited to continue working with you all in my new role. Together, we will work to bring about an even brighter future for VirTra. Our journey is just getting started, and I am honoured to be part of this incredible team, what we've done, and especially what we are about to do. Thank you. Be safe, take care, and God bless.
Operator: Thank you for joining us for VirTra’s second quarter 2023 conference call. You may now disconnect.